Operator: Good morning, and thank you for standing by. Welcome to the Hexagon Q2 Earnings Report Conference Call. [Operator Instructions] I would also like to advise you that today's call is being recorded. I would now like to hand the conference over to your first speaker today, Anders Svensson. Please go ahead.
Anders Svensson: Thank you, operator, and good morning, everyone, and a warm welcome also from my side. It's a pleasure to join you this morning in my new role as President and CEO of Hexagon. I have asked Norbert Hanke, along with David Mills and Ben Maslen, to lead this call today due to their proximity to the business and the performance during the second quarter. But before they begin, I want to take a few moments to discuss what attracted me to Hexagon and some very early thoughts. So moving to the next slide. First on high-level thoughts on Hexagon. Hexagon has, via strong execution, built an excellent reputation for innovation. We have invested in products that makes our customers' lives easier. And as a result, we are seeing as a scaled disruptor by both customers and peers. This has allowed the team to build strong leadership positions in several structurally attractive markets with long-term great growth dynamics, which in turn has allowed Hexagon to build an impressive financial profile, with continued growth in recurring revenues and also gross margins. This provides a rock solid foundation from which we will build and develop. The ingredients are there for at least another 25 years of continued growth and success. My arrival to the company comes at an exciting junction in the future of Hexagon. The potential separation of Hexagon and Octave is a catalyst for both businesses to refocus on the core value that they provide and also doubling down on the strength: Hexagon, within precision measurement technologies; and Octave, in data-driven insights to power more effective responses. Today's result demonstrates the return to organic growth, excellent cash conversion and stable gross margins. This is very encouraging given the market backdrop. However, it's clear for me that we need to accelerate organic growth and that the existing cost base needs to be adjusted. As a result, I have started working with my leadership team on a cost improvement program, which we will not delay in implementing. And I will update the market on the nature and the status of this initiative no later than at our third quarter results. And I will now hand you to Norbert, David and Ben, who will talk you through the quarterly development in more details. So Norbert, over to you.
Norbert Hanke: Thank you, Anders, and please let me extend my welcome to Hexagon. We are all thrilled to have you here with us. As Anders joined us only on Monday, I will now take you all through the Q2 performance. In Q2, we were pleased to return back to organic growth of 3%, while maintaining gross margin and generating an excellent cash conversion of 104%. Geopolitical uncertainty continues, and we noticed delays of customer decision-making, but the divisions have managed to mitigate some of these headwinds with price increases, innovation and close customer relationships. A significant negative currency impact of 130 basis points impacted operating margins in the quarter, which were up 26%. During the quarter, we were very proud of the success of our HxGN LIVE event, which was attended by roughly 3,000 customers and partners. We made several important announcements during this event, one of which was a live demonstration of AEON, our autonomous humanoid robot designed for industry. This is a very exciting product development, and we will revisit this later in the presentation. We also revealed the name of our potential spin-off company, Octave. Octave brings together our ALI and SIG divisions as well as other related software business. The separation is on track to complete in the first half of 2026. Finally, we are very pleased to be named on TIME World's Most Sustainable Companies in 2025. Turning to the next slide, a short follow-up on the direct impact of tariffs on the Q2 results. We mitigated the majority of the impact to our EBIT in Q2, resulting in a headwind of just over EUR 2 million. This headwind was mainly due to the gap between tariff's impact and price increases. The main action taken in the short term were strategic price increases through enterprise adjustments and optimization of logistics and assembly. In the medium term, we have option to adjust our manufacturing footprint and purchasing arrangement, and we will base this decision on how the environment evolves. Our main concern regarding the tariff environment remains on the impact on customer behaviors. I will now hand to Ben for the performance review of the quarter.
Benjamin Gulliver Maslen: Thank you, Norbert, and good morning, everyone. If we go to Slide 8, we have the overview of divisional performance during the second quarter. We saw a return to organic growth of 3%, as described by Norbert, which reflects a stabilization in the overall environment after a volatile first quarter. By region, we saw a sequential pickup in growth in the Americas and Asia, which grew by 6% and 5%, respectively; the continued weakness in EMEA, which declined by 2%. Growth in China was 5% overall. By division, we saw good growth in Autonomous Solutions and Asset Lifecycle Intelligence, a modest expansion in Manufacturing Intelligence and SIG and a slight contraction in Geosystems, which continues to be impacted by weak European construction demand. As during the first quarter, we saw a weaker margin development than the prior year period, reflecting currency translation and transaction effects, a weaker product mix in some of the divisions and a higher level of run rate costs. Excluding these currency effects, the margin in the second quarter improved sequentially against the first. If we go to Slide 9 and Manufacturing Intelligence. MI reported revenues of EUR 487.5 million, which represents 3% organic growth compared to last year, with strength in manufacturing, aerospace and electronics, offsetting continued softness in automotive markets. By geography, the Americas saw modest growth, supported by a strong development in South America. EMEA continued to decline, but Asia grew at a high single-digit rate, driven by broad-based strength in China, which grew at an impressive 10%. The division reported EBIT of EUR 120.7 million and an operating margin of 24.8%, with the decline largely reflecting negative currency effects, but also the small drag from the impact of tariffs, which was mentioned by Norbert. If we go to Slide 10 and Asset Lifecycle Intelligence. ALI reported revenues of EUR 206.3 million and 6% organic growth during the quarter, a slight improvement from the first, despite ongoing uncertainty in some market segments. All geographies contributed to growth, all demand -- although demand in North America was slightly more subdued in the quarter compared to other regions. Growth was broad-based across the product suite with an especially strong performance in project planning and execution and operations and maintenance solutions, and the SaaS product lines continue to grow at double-digit rates. EBIT declined to EUR 62.5 million, and the EBIT margin declined to 30.3%. As in the first quarter, this reflects product mix, investments we're making in products like SDx2, which have just been launched and are ramping up, and some extra costs incurred ahead of the Octave separation. If we go to Slide 11 and Geosystems. Geosystems reported revenues of EUR 389.6 million during the quarter, which represented a 1% organic decline compared to last year. Software and recurring revenue grew at mid-single-digit rates, and we saw good momentum from recent new product launches like the iCON trades product line, but this was offset by a decline in the broader sensor and robotic solutions portfolio, which is still being impacted by weak construction markets. Geographically, the Americas grew at high single-digit rates, with both solid growth in the U.S. and South America, and this was offset by a slight decline in EMEA and a double-digit decline in Asia, with good growth in India being more than offset by weak construction markets in China. EBIT declined in the quarter to EUR 103.7 million with an operating margin of 26.6%, reflecting the combined effects of low volumes in some product segments, a weaker product mix and negative currency impacts. If we go to Slide 12 and Autonomous Solutions. AS delivered revenues of EUR 167.2 million during the quarter, which represented 11% organic growth compared to the prior year. In the autonomy and positioning business area, growth in aerospace and defense markets remained strong, especially in anti-jamming solutions. In precision agriculture, we still see year-on-year declines in demand, but we are starting to now see sequential stabilization. And in mining, we saw a slight rebound in growth in the quarter, led by strong demand for mine planning and operational software. We also saw continued growth from the ramp-up of the autonomous road project, which we're working on in Australia. EBIT came in at EUR 54.5 million, representing an EBIT margin of 32.6%. This decline compared to the prior year reflects both currency headwinds, a weaker product mix and a record comparative last year. If we go to Slide 13 and Safety, Infrastructure & Geospatial. During the second quarter, SIG delivered revenues of EUR 118.3 million, an organic growth of 2%. As in the first quarter, demand was very strong in the public safety segment, which delivered double-digit growth once again, but this was offset by weakness in the U.S. federal services business, which experienced delays on a number of key projects. By geography, growth was slightly negative in the Americas, reflecting the decline in the U.S. federal business. EMEA was also down on tougher comparatives, but there was continued strong growth in Asia. SIG delivered EBIT of EUR 27.6 million and an EBIT margin of 23.3%, with the increase reflecting the increased contribution of the core public safety portfolio to the revenue mix. If we go to Slide 14 and acquisitions. We closed a number of acquisitions during the quarter, including Geomagic and the software assets of CONET Communications, which we've discussed in previous quarters. Here we highlight the acquisition of Aero Photo Europe Investigation, or APEI, which we announced on June 12. APEI is a French company specializing in aerial mapping, primarily within Southern Europe and Africa. They've been a long-term partner of Hexagon and contribute to our content program, the largest library of aerial imagery and elevation models in the U.S. and Europe, and a core application on HxDR, our cloud-based platform for storing and visualizing spatial data. If we go to Slide 15. We made some divestments during the quarter. In early July, we announced the disposal of certain noncore business assets within Safety, Infrastructure & Geospatial. The products sold include general IT services, geospatial data production services and the supply of ruggedized hardware supporting the U.S. federal market as well as a small reseller of third-party geospatial data APIs. These divestments will allow Hexagon's SIG division to focus on its core software portfolio, in particular its fast-growing public safety business ahead of the potential separation of Octave. The businesses will be carved out and deconsolidated during the third quarter. If we go to Slide 16. In June, we hosted the HxGN LIVE Customer Forum. So thanks to those to you that were able to attend. This event was our most successful to date. We hosted around 3,000 partners and customers in person, and over 20,000 digital views happened post the event. As Norbert mentioned, during HxGN LIVE, we made several important announcements. We introduced the name Octave for the potential spin-off company, which, as before, consists of ALI and SIG and related businesses. And Octave will be a pure SaaS and software company focused on allowing customers to make smarter, more data-driven decisions. We also announced our first humanoid robot, AEON, which we can look at in more detail on the following slide. AEON is our humanoid robot built for industrial customers, which was launched by our new robotics division. Its design allows it to navigate spaces designed for humans, and it blends our precision measurement technologies with advanced motion technologies, AI and spatial intelligence, and will be used in applications like asset inspection on the plant floor, reality capture and operator support. The robotics division has access to Hexagon's existing strong customer relationships and is already in pilot with companies like Pilatus and Schaeffler, and we expect to announce further pilot customers over coming quarters and a full commercial launch of AEON in 2026. And for anyone wanting to know more about robotics and what we do, we include a link on the slide to a recent white paper published by the team. If we go to Slide 18, finally, another product launched this quarter, this time from our Manufacturing Intelligence division. MAESTRO marks the first major update to our CMM platform in over a decade and demonstrates Hexagon's commitment to smarter, faster and autonomous manufacturing. In line with Hexagon's focus on robotics, AI and automation, it delivers intuitive precision driven tools that will meet the evolving needs of modern industry. MAESTRO is now available for sale, and we expect it to positively contribute to MI growth and margins starting in early 2026. And with that, I hand over to David.
David Mills: Thanks, Ben. In the following financial slides, I would like to take you through the Q2 performance, in which we noted a significant negative impact to EBIT1 from global exchange rate movements, but despite this demonstrated a positive return to organic growth and a positive sequential quarter-over-quarter leverage from the business, alongside a very strong cash conversion. Moving to the next slide, starting with the Q2 2025 income statement, stepping through the sales bridge. Sales of EUR 1.370.7 billion is a reported growth of 1.3% with a negative minus 3.7% impact from FX on sales and a 2% net impact from structure, giving 3% organic growth. Gross margin at 67% was stable, considering the impact of FX. We continue to be confident in driving gross margin expansion, as the impact of new product releases begins to materialize. Operating earnings decreased by 10% to EUR 360.6 million, corresponding to a margin of 26.3%, which contains 130 basis points of negative FX impact. I will break this out further in the subsequent profit bridge. Interest expense and financial costs now decreased year-over-year to EUR 35 million versus EUR 32 million, giving a delta on earnings before taxes of minus 9%. Taxes being 18% is in line with prior year, bring us down to an EPS of EUR 9.8, also declining by minus 9%. For reference, the EBIT1 including PPA includes EUR 28 million of amortization and so dilutes the EBIT1 percentage by 204 basis points to 24.3%. Moving on to the next slide. On gross margin, as I mentioned on the previous slide, we saw stability in the gross margin once adjusting for currency. On a rolling 12-month basis, gross margin at 67% continues to track above the prior year of 66.5% and is supported by strengthening within the software portfolio and resilience in the sensor portfolios. Moving on to the next slide, the profit bridge. During Q2, we saw a significantly dilutive impact from currency of 130 basis points. This is due predominantly to a large negative translation impact on EBIT of EUR 26.1 million, in conjunction with the net year-over- year transaction impact, which is a negative of EUR 6.2 million from a current year loss of EUR 10.7 million against the prior year loss of EUR 4.5 million. The negative translation impact in the quarter come as a result of the depreciation of the USD and CNY of circa 5% and the appreciation of the Swiss franc by 4%. The structural element was accretive, with solid contribution from acquired companies such as Septentrio and Geomagic. The organic impact improved compared to last quarter, as I'll show on the next slide, though it remains negative year-on-year. While the sequential trend is encouraging, we're still operating in an uncertain environment. This continues to weigh on volumes as customers delay investment decisions. We have implemented tariff-related price increases as more clarity has emerged, and we're confident that we've mitigated the majority of the direct impact. That said, the situation remains volatile and can shift quickly. As Anders mentioned at the start of today's session, we are actively working on a cost improvement program, which we will begin immediately implementing. We will update the market on the nature and the status of this initiative no later than our third quarter results. Moving on to the next slide. Due to the materiality of the currency fluctuations, the impact is influential even quarter-over-quarter. I thought it was, therefore, beneficial to break down the implications in a Q1 to Q2 profit bridge. Looking at the Q1 to Q2 development, we can see the negative 100 basis points impact in the currency column from translation and transaction, which is offsetting a very solid positive 100 basis improvement in the margin in the organic column, which is the impact of the improved volume and seasonality and delivered from cost management measures already taken from pricing power. Moving on to the next slide, the Q2 cash flow, which shows an excellent cash development in the quarter, thanks to continued operational discipline. The adjusted EBITDA variance of minus 6% demonstrates the continued stronger cash leverage versus the EBIT1 variance of minus 10% due to the natural increase in D&A outback, as the underlying depreciation is increasing as we have seen throughout the prior period. Capital expenditure declined overall by EUR 6 million. The movements in working capital is a driver for the variation in operating cash flow, being a release of EUR 55.6 million versus a build in the prior year of EUR 3.1 million, the details of which I'll take you through in the next slide. This generated an operating cash flow of EUR 375.1 million, increasing 11%, which is the cash conversion of 104% versus 85% in prior year. Interest payments marginally decreased as expected and cash taxes increased due to timing as they were being materially lower in Q1. The nonrecurring item cash outflow of EUR 32 million versus the prior year of EUR 20 million brings an operating cash flow of EUR 238.9 million, increased by 4%. Moving on to the next slide. The Q2 net working capital, being a release of EUR 55.6 million versus the prior year build of EUR 3.1 million decreased the proportion of rolling 12-month sales to 5.5%, lower than the prior year level of 7.3%. The constituent elements of the movement being receivables and prepaid decreased by EUR 30 million from Q1, driven by strong collections in the quarter, leading to a DSO of 78 days. Inventory held stable, with good inventory management despite the uncertain macro environment caused by tariffs. Liabilities increased by EUR 17 million with the trade DPOs at the level of 57 days, similar to the prior quarter. Deferred revenue decreased by EUR 25 million, which is reflective of the normal billing cycle in software, where Q2 and Q3 are usually decreases. Finally, accrued expenses are increasing in line with normal quarterly seasonality after the Q1 decrease. To conclude, the divisions have mitigated an uncertain environment to deliver growth, strong cash conversion and stable gross margins. Currency has been a negative headwind to EBIT margin development, and we are proactively working to address the challenges, which we have in the underlying cost base. I'll now hand you over to Norbert for some further comments.
Norbert Hanke: Thank you, David. I will now summarize Q2 before handing over to Anders. I'm very pleased how the division has mitigated customer uncertainty and delays in the decision-making to deliver improvement in organic growth, stable gross margin and strong cash conversion of 104%. The improved momentum is encouraging, but continuous market uncertainty makes it difficult to forecast the second half of 2025. Anders has discussed how we intend to address challenges in the underlying cost base. The separation of Octave remains on track for the first half of 2026, and the Board will continue to provide the market with updates on progress and decisions as they are made. The arrival of Anders bringing -- brings a new leadership era to Hexagon. This, coupled with our market-leading positions in attractive structural growing markets, provides me with great confidence in the future of Hexagon. I will now hand you over to Anders.
Anders Svensson: Thank you, Norbert, and thank you, team. And before I hand you back to the operator for the Q&A session, I want to take a moment to thank Norbert for his leadership during this period of transition. And I'm also very grateful that you have accepted to stay on my executive team as the Executive Vice President, where you will focus on people and culture, our ventures division and strategic projects. I also want to take a moment to reiterate some of the points I made in my introductory comments. Hexagon has built a great foundation for continued success. Today's set of results shows encouraging progress, but as I mentioned, it is clear to me that we need to take more steps to see Hexagon deliver on its full potential. We are not waiting around. My leadership team and I are actively working on a cost improvement program, which will be implemented as soon as possible. And I will provide more details on this initiative no later than at our third quarter results on October 24 later this year. I look forward to meeting many of you in the coming weeks and months as we drive Hexagon forward. And with that, I would hand you back to the operator for the Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Daniel Djurberg from Handelsbanken.
Daniel Djurberg: Also, welcome on board, Anders. A few questions from my side, starting off with the accelerated organic growth ambition, obviously, positive. And my question is, what is your view on the best practice to secure this in a quite decentralized and diversified company as Hexagon? Are you talking about cross-selling initiatives? Or any changed go-to-market changes that you can share?
Anders Svensson: Thanks, Daniel. On the organic growth side, we have a clear financial target of 5% to 7% growth per year in the period '22 to '26. And we have some really fantastic recent product releases. Ben mentioned some with the MAESTRO. There's also others that we expect to gradually contribute more going forward. The innovation pipeline is really strong. And these market-leading products will, of course, help support the organic growth going forward, but ramp-up takes time. And on the organic growth side, we need to come back later to discuss what the growth potential we have going forward. We still have the targets until 2026 as communicated. And we -- but we will, of course, update our targets then during next year and also to showcase strategies to achieve those targets. On the cost side, it's much easier, right? It's easy to get a grip on the cost side quicker for me coming into the company, and that's why we already now can communicate on our cost improvement initiative. And so answer to your question is we will come back to that. It's very difficult to say the new company. I need to know a lot more to be able to comment more on that. Thanks.
Daniel Djurberg: That's fair, that's fair. And may I also ask you on -- you touched upon the cost saving. And if you look like 10 years back, there has been at least 4 cost saving programs targeting from EUR 30 million up to EUR 170 million, I think, and the 2 latter ones in 2023, around EUR 150 million each in annual savings. Do you have any color on the amount that you would like to save in this that you will obviously tell us in October? But any preliminary view would be helpful.
Anders Svensson: I think that's very difficult to say already now since we are in the middle of building those programs. So it's very difficult to give you any more insights currently. But we are not waiting, of course, until the quarter 3 report to execute on this. As soon as we are ready with our initiatives, we will start executing, and then we will communicate latest at October 24. But unfortunately, Daniel, I cannot -- I don't want to guess anything regarding the size of those programs.
Daniel Djurberg: That's fair. I had to ask. Just last one for me. In China, good growth, and also in MI being -- coming back. And my question is, is this a broad-based MI recovery in China because you have so many customers, I think 70% of the revenue sustains from midsized and small-sized companies? Or is it some of the larger clients, the Build Your Dreams, [ Foxconn ] that is behind this MI recovery?
Benjamin Gulliver Maslen: Daniel, so growth in China organically in the quarter overall was 5%, and we see 2 different markets. I mean, construction is still difficult, which impacts Geosystems. For Manufacturing Intelligence, organic growth was 10% during the quarter. And there, it was broad-based. We saw good momentum in general manufacturing. Electronics was strong. Automotive was also good on the back of some good order wins with -- from the partnership we have with BYD, which we've talked about previously. So yes, it was across the board in this quarter. So going forward, we don't know if we can maintain 10%, but we do see -- we would still expect to grow through the second half of the year.
Operator: Your next question comes from the line of Magnus Kruber from Nordea.
Magnus Kruber: First, I wanted to ask you about the cost absorption in the second quarter. I mean, one key aspect of the softer margins into Q1 was lack of growth in combination with higher R&D costs, and now growth is coming through, but you're still suffering a little bit more than I anticipated. Could you potentially unpack the 210 bps headwinds in the organic part of the margin bridge, please?
Anders Svensson: Yes. I mean, we talked about it. I mean, let's start with the positives. We did return to organic growth in an uncertain environment. So we had an increase of 3% organic growth. But that, as we've alluded to, is still quite considerably below our organic growth targets. It was coupled with a good gross margin. So if we talk about the sales volume and the gross margin, we have some positives. But as you've seen, and you mentioned the organic section, so you're taking the FX out, but we still have a misalignment on the cost base, and that misalignment on the cost base is the reason that we're announcing a cost improvement program. So it's to address exactly that differential and come back in line with the organic development on that portion of the profit bridge is the reason why we're announcing the cost improvement program.
Magnus Kruber: Very clear. And then with respect to perpetual licenses, there was a headwind in the first quarter. Was that sort of a similar headwind in the second one?
Benjamin Gulliver Maslen: No -- Magnus, not to the same extent, and growth in ALI sequentially was a little bit better as a result. So no, it wasn't the same impact we saw in Q1.
Magnus Kruber: Got it. And then just finally, briefly, I'm sorry to push you about this, but on the savings again, what's the -- what parameter are you looking at when you try to dimension this program?
Anders Svensson: Yes. So of course, we are looking backwards in time, and we're looking at the growth we have had the last couple of years. We are looking at our FTE development during the same time period, and we are looking at the productivity improvements that we should have achieved during this time period and have achieved. So that's the sort of main parameters that we start looking at. But then we dive into every business and talk to the business owners because this is not a program that I will run around and drive throughout the company. This is a program that I will lead together with David. And then we will have the divisions driving their own programs and the functions driving their part of their programs as well. So this is -- like everything we do, this is running a decentralized way where the profit and loss owners are responsible for their results and driving their own improvements.
Operator: Your next question comes from the line of Andre Kukhnin from UBS.
Andre Kukhnin: Can I just firstly come back to the profit bridge and that organic piece and try to break out a couple of things there? Could you comment on how much price was within that? And also just thinking about the operational gearing contribution on that growth, given the gross profit margin, we should have seen about EUR 20-odd million. So I guess, there's quite a large offsetting factor from the product mix and ramp-up costs. Could you help us quantify, at least to some extent, that kind of product mix impact and product ramp-up costs?
David Mills: So I mean, in terms of pricing, it's always very difficult to say exactly how much pricing comes through in the organic element. We're trying to achieve pricing to cover the tariffs, as we said. And if we looked at the direct impact we had, for example, on tariffs, it was like EUR 5 million, and we offset a minimum of EUR 3 million on that on pricing. So those kind of elements you clearly would have in the organic element. And then when it comes to the leverage piece, I mean, that is why I showed you the Q1 to Q2 bridge because that does demonstrate clearly in the organic column on the Q1 to Q2 bridge that you had EUR 97 million of organic volume with EUR 39 million of drop- through on EBIT, which is a 41% leverage, which is in line with our expectations for leverage on volume. So I think it comes back to what we described. The underlying cost base is out of line with the overall growth we have. But on additional growth, we're clearly dropping margin through, and that's why we're trying to show the 2 different pictures to show the leverage Q1 to Q2.
Andre Kukhnin: Yes, yes, I was trying to kind of triangulate from the year-on-year to sequential, and it does look like product mix was substantial negative year-on-year. Do you expect that to continue through the rest of the year? Or is there anything of one-off nature in there?
David Mills: No, I don't think -- I mean, I don't think there was a particular substantial negative product mix from a sort of overall divisional perspective. There was a weakness in margin in Geo, which was product mix specifically, but we saw good margins and good product mix in the software, and we saw resilient margins in MI. We also had a very challenging product mix comparative for AS due to some very large software drop-through in the prior year, which you see in the AS EBIT margin. So if you want to put it down to where that negative would have come through, it would have been in Geo and in AS, AS from comparatives, Geo from volume and product mix.
Andre Kukhnin: Great. And just switching topics a little bit to the Robotics division and the humanoid launch, could you just share with us maybe the vision for that division for next 3 to 5 years? And on the humanoid offering specifically, what kind of TAM do you anticipate for this product offering? And what kind of share do you think you can have on that -- in that?
Norbert Hanke: I will take them. It's Norbert here, Norbert Hanke. The -- following on robotics from our side, I mean, for us, it was important that we demonstrate our capabilities at HxGN LIVE. We now deploy things into the customer side, like Anders was talking about. And then we are looking into possibilities what we can do, honestly speaking. And we will come back to you in due time and let you know on these kind of things. But we are very excited. Regarding the TAM, to be honest, I mean, you have seen so many different things that are hard to quote these kind of things, honestly speaking, from my point of view. But maybe, Ben, from your side.
Benjamin Gulliver Maslen: Yes. And Andre, I think in -- at this early stage in the kind of technology's development, it's very hard to say what a TAM will be. I mean, we've seen numbers out there that are EUR 30 trillion, EUR 40 trillion, EUR 50 trillion 10 years out, depending on how you define the market. So for Hexagon, I think if you get a small market share that's very focused within that big market, it can still be very significant for Hexagon. And as I said on the slide, we're going to focus on markets where we already have a very good line into the customer base, the applications and the problems that they need to solve, and we're going to work with them to see how our robotic solution can help them.
Operator: Your next question comes from the line of Sven Merkt from Barclays.
Sven Denis Merkt: Maybe first one for Anders, one on balancing growth and profitability. You called out the need to accelerate growth and adjust the cost base. So what's your thinking behind prioritizing one over the other? Growth for the business has been soft now for a while. And so would you sacrifice some margin for better growth? And then secondly, you commented that H2 is hard to predict, but maybe you can comment in which segment you see the highest potential to see an improvement in Q3 and in which segment is the higher risk that we could see continued softness.
Anders Svensson: Yes. Thanks, Sven. I prefer to work with a decentralized organization model where you have strong governance and a clear performance management. In that model, I also like to work with the stability, profitability and growth perspective. So if you have an unstable business with a fluctuating result, then your first priority is to stabilize your business and reduce risk in your business. Then you move into the profitability part, and here, you should achieve leading profitability, benchmark profitability levels. And then when you have achieved that, then you should grow your business because then you do it profitably. So this is what I work after. And that -- those levels are, of course, different for different divisions that we operate in. And so it's difficult to answer your question in more detail than that. But so if you want to see that as some sort of prioritization, the first one is stability, then it's profitability. And then when you achieve those, then you focus on growth and you focus on the organic growth, but you will also get additional capital most likely to do inorganic growth.
Benjamin Gulliver Maslen: And Sven, maybe on the outlook for the second half, I mean, if you take it by division, ALI, 80% or so is recurring. So that's obviously easier to predict. And we would expect similar growth going forward. SIG, we have a very big backlog in public safety. The volatility over the last few quarters has been in the federal business. I think the disposals that we have announced there, as they gradually deconsolidate, it should help predicting that growth. In Autonomous Solutions, I mean, the -- there's still some uncertainty in mining, but I think their underlying need to invest in technology is still there, and we see good momentum on the software side. So there, I think we're confident as we are on demand for positioning products in aerospace and defense. The bit that's more uncertain is around the impact of macro and global trade dynamics on Geosystems and MI. And I think it did settle down during the second quarter. It doesn't sound like the tariff negotiations are fully settled everywhere. So we'll have to see how those pan out through the back end of the year. So I think at the moment, we would expect a similar development in -- going forward, but we'll obviously have to see in those divisions how it pans out.
Operator: Your next question comes from the line of Adam Wood from Morgan Stanley.
Adam Dennis Wood: Also, welcome to Anders. Maybe just, first of all, coming back to this cost versus growth to date. I wonder, maybe, first of all, could you just talk a little bit around on how you're able to get a handle so quickly on the fact that there needs to be a cost reduction program as a company? Could you just talk a little bit around maybe the inefficiencies or the challenges that you see? They were able to persuade you pretty much immediately that, that was what needed to happen. And linked to that, I think there's always a big debate about how hard it is for companies do the cutting costs to be able to accelerate their organic growth at the same time. Often, we need to see companies make investments in order to accelerate the organic. Could you maybe just talk a little bit about that and how you think about that's feasible? And maybe secondly, just in terms of the phasing of the quarter. It was very helpful at Q1 just to get a little bit more of a detailed idea of how the quarter phase through the months. Could you give us a little bit of a feeling for that in Q2, just to give us directionally how the improvement or otherwise the business are going through the quarter, please?
Anders Svensson: Thanks, Adam. I think to see that we need to do a cost improvement program is not rocket science. I think I saw that even in -- when I was interviewing for this role that we had an OpEx cost problem, given that margins were going down and we had a flat top line. So I think that was not a very difficult analysis to do. And then, of course, what we are doing now is to decide internally how we structure this and where we will do those cuts because, as you say, for us, it's important. And we also have other big projects, like the potential spin-off of Octave and Hexagon. So we need to ensure that we, in the meantime, remain focused on servicing our customers all the time in the day-to-day operations, not to lose that momentum. That's why we're trying to keep these kind of initiatives with a limited group of people and the rest of the organization focus completely on running the business. And then how hard to cut costs at the same time as growing, so that, I've already been sort of touching with those comments. I think also we have a lot of new product releases. We have had quite a heavy period of investments within R&D, and we can now see that those investments are starting to be released to the market. And of course, that gives some increased amortization for us, but that we intend to counter then with improved sales and improved margins of the new products that we released to the market, which are clearly market leaders. So we should be able to clearly take market shares here as well, and that will also then contribute to the organic growth. And then for the third question, I think I need to leave to someone else.
Benjamin Gulliver Maslen: And Adam, on the phasing through the quarter, there isn't too much I would call out. In some segments like mining, there was a little bit of a catch-up in April from the weakness that we flagged in March. But outside that, it was pretty linear through the quarter.
Operator: Your next question comes from the line of Erik Golrang from SEB.
Erik Pettersson-Golrang: Two questions. Coming back to the cost program or the cost issue as well here, and maybe you've touched upon it. But I mean, given only 2 years ago since the prior program, which was pretty sizable, is there a path forward where Hexagon moves away from these large cost savings programs and into a setup where productivity improvements become more of an integrated part of operations? And then secondly, on the humanoid, just a few comments on your thoughts on the competitive position here. You faced some very deep-pocketed peers that look like they have quite a bit more compute and AI capabilities in-house. What's your real edge here to gain a foothold in the market? And then also if you could say something about the cost of the AEON development program.
Anders Svensson: Thanks. If I take the first one, I agree with you. We will not be a company, going forward, that has restructuring programs every 18 or 24 months. But given where we are today, we see a need to do something. Forward, we will work with the annual productivity improvements, et cetera, and natural attrition when we need to downsize. We cannot say that we will not do any programs going forward either, of course, but it will not be as frequent as we have done it maybe historically, and that's what I can say, basically. But the productivity will be a much more integrated part of how we run our businesses. And I think if you look at where I've been previously at Sandvik and Konecranes, I did not work with restructuring programs, in general.
Norbert Hanke: Good. Regarding the robotics and -- what's the one of the other questions? I think what we are -- we are quite unique on precision measurement and sensor technology. And actually, that's the reason why we are producing such a robot in that environment as well as able to do this regarding the next-generation autonomy as well. So it's all about from -- to a certain extent, the awareness in the spaces by itself. Honestly speaking, what we have is something very unique. We have a very strong relationship to industrial partner because we have mentioned the robotic -- or the humanoid robot is based in the industrial space in the sense. So we have some uniqueness there. And you have seen this already that we're announcing immediately the programs with Pilatus, Schaeffler and more to come, honestly speaking. There are other competitors, I will not deny that, honestly speaking. But I think competitiveness is one thing, but partnerships with others as well and the unique technology we are having is something else, honestly speaking. And just to mention as well, we are not by ourselves. We are working with partners, as we have mentioned, on Microsoft and NVIDIA as well.
Erik Pettersson-Golrang: And the cost of the program?
David Mills: No. We deem that to be commercially sensitive, so we're not going to break out the cost of the program.
Operator: Your next question comes from the line of Marianne Bulot from Bank of America.
Marianne Bulot: My first question is on Geosystem. Obviously, you've seen a continued softness in construction in China and in Europe. So I was wondering if you could comment a little bit on the dynamics here, if you're seeing any kind of early signs of stabilization and maybe how could we think about the offsetting trends from construction exposure and the growth from new products in Geosystem for the rest of the year.
Benjamin Gulliver Maslen: Yes. Thanks, Marianne. So China, we -- that the market is still weak. It can fluctuate for us quarter-by-quarter, depending on how dealers manage their inventory. But we don't really see any kind of -- any catalyst for a kind of upwards turn in that market at the moment. If you look at Europe, I mean, I would say that the market is kind of sequentially stabilizing. We don't -- we see stories and comments around stimulus in some markets, but we haven't really seen that flow through yet. I think it's too early for that. And the way the business is trending is that it is sequentially softer in some geographies, but it's being offset by the new products that we've launched like iCON trades. So that's why it's -- it overall stays relatively flat. So I'd characterize it as if you look at Europe, there are some markets that are 15%, 20% below peak levels, which is a pretty sizable cyclical downturn. So there is cyclical recovery potential at some point when those markets get going. Again, whether that's interest rates or whether that's stimulus, we'll have to see, but we don't see that happening at this point.
Operator: That was our final question for today. I will now hand the call back for closing remarks.
Anders Svensson: Thank you very much for joining us here today. I'm looking forward to meeting many of you in the coming weeks and months to have further discussions and also to hear your views of our fantastic company. And with that, I also want to wish you a nice summer vacation, if you're going on vacation in the summer period, and looking forward to meeting you on October 24 for our third quarter results. Take care, everyone, and be safe. Bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.